Operator: Good day and welcome to the Ideal Power Inc. Fourth Quarter and 2015 Full Year Conference Call and Webcast. Today’s conference is being recorded. At this time, I would like to turn the conference over to Matt Hayden, Chairman of MZ North America. Please go ahead.
Matt Hayden: Thank you. Good afternoon. I would like to thank you all for taking time to join us for Ideal Power’s 2015 year end call. Your hosts today are Mr. Dan Brdar, Chairman and CEO, as well as Mr. Tim Burns, the company’s Chief Financial Officer. Dan will provide a business update, which will cover partner announcements, product updates, while Tim will discuss the financial results. A press release detailing these results crossed the wire this afternoon at 4 P.M. Eastern and is also available on the company’s website, idealpower.com. Following management’s prepared comments, we will open the floor to questions for those of you who are dialing in and also those participants joining via webcast. Before we begin the formal presentation, I would like to remind everyone that statements made on the call and webcast including those regarding future financial results and industry prospects are forward-looking and maybe subject to a number of risks and uncertainties that could cause actual results to differ materially than those described in the call. Please refer to the company’s SEC filings for a list of associated risks and we also would refer you to the company’s website for more supporting industry information. Thank you. And at this time, I would like to turn the call over to Dan. Dan, the floor is yours.
Dan Brdar: Thank you, Matt. Our focus for 2015 was primarily around three areas, the first was capturing the system integration channel and alliance partners, which we believe will be the leaders in the commercial and industrial energy storage market that it develops and matures; the second was to bring out innovative, highly differentiated products that give our partners a superior rate of return on their projects; and third was to continue innovating to both advance the state of our technology and to build our portfolio of intellectual property as necessary to protect our core assets and strengthen our competitive advantages. Executing on all three of these areas is essential for us to achieve the level of growth we are targeting in the coming years. We made strong progress on all three of these areas in 2015 and as a result are well positioned in 2016 for significant growth in our business. Before we look at 2016 in more detail, I want to recap key progress made during 2015 with an emphasis on developments during the fourth quarter and have Tim review the financials. First and foremost, the fourth quarter was highlighted with the largest order in our company’s history. This order for 14.5 megawatts of our power conversion products from Gexpro is for using battery energy storage systems predominantly in California, New York and Hawaii. This order is for a mixture of the company’s 30 kilowatt battery converter, grid-resilient 30 kilowatt multi-port power conversion system and our newly released grid-resilient 125 kilowatt power conversion system, with the 125 kilowatt system making up the majority of the order. We believe this commitment validates the expected growth in the market we anticipate for 2016 and further reinforces our market leadership and providing power conversion systems for behind the meter energy storage solutions. The Gexpro order is expected to be fulfilled throughout 2016. On the international front, we received our first orders for Asia in the fourth quarter. These orders were from two different companies, one based in Japan, one in China, each deploying around 125 kilowatt product in their respective countries. The orders were from an existing customer and a new large customer entering the market in 2016. Leveraging our established market position for energy storage applications in the U.S., we are beginning to receive interest in our grid-resilient systems from around the globe for both batter energy storage systems and micro-grid applications. While commercial and industrial storage started as a California-centric market, we are seeing the potential for significant growth opportunities for our products in Asia and other international markets as battery costs continue to decline. The interest we are receiving from existing and new potential partners for opportunities outside of the U.S. validates that energy storage is in the process of becoming a global business. According to Navigant Research, global installed energy storage capacity is expected to reach 20.8 gigawatts by 2024. Navigant predicts that worldwide revenue from energy storage will reach $15.6 billion by 2024. Today, we supply our power conversion systems principally for distributed energy storage projects, a segment of the market that’s growing rapidly. Now, moving on to another key vertical market for us, micro-grids, in the fourth quarter, we received and fulfilled a multiunit order for our grid-resilient 30 kilowatt multi-port product from EnerDel for distributed micro-grid application for a government customer. Micro-grids represent a significant opportunity as batteries will increasingly be used to displace the use of diesel fuel for power generation, particularly for developing countries in remote locations as well as from local power platforms used by the military. EnerDel sought out our technology, because our PPSA-based products are smaller, lighter and more efficient than traditional power converters. On the product front, we received certification for UL1741 compliance for our grid-resilient 125 kilowatt products. This offering opens up a much larger segment of the commercial and industrial market for Ideal Power and enables the company to play even in utility storage applications with a product that is scalable to megawatt size. The launch of the 125 kilowatt product expands our grid-resilient family of products that incorporate micro-grid capabilities and support global 50 and 60 hertz geographical markets. This follows the certification earlier this year of our grid-resilient 30 kilowatt two-port and 30 kilowatt multi-port power conversion systems. For those who are new to Ideal Power, the UL1741 standard is a benchmark for safety and compatibility of power conversion systems for using distributed energy resources on the electric grid in the U.S. and Canada. Based on the makeup of our current backlog and forecast from our channel partners, we anticipate our 125 kilowatt product is likely to be our biggest contributor to revenue in 2016. Our intellectual property portfolio more than doubled in size this past year and we now have 43 issued patents on our technology compared to 20 issued patients at the beginning of the year. Our patent portfolio now includes 12 issued patents on our new B-TRAN technology. Even with our recent patent awards, we still have over 100 patent applications pending at the U.S. and international patent offices that cover a broad range of technology and product advancements, production techniques, control algorithms and applications for our technology. Before turning the call over to Tim to review the financials, I want to spend a little time taking a deeper dive on some key customer activities and development efforts and provide some updates that we promised on our last call. Starting with Gexpro, in 2015, we realized that for the commercial and industrial storage segment to grow it would require the participation of large, well-capitalized system integrators that could bring turnkey solutions that includes full storage system guarantees, performance-based contracts and financing. We are pleased to help we are going together with the team of Gexpro, LG Chem, Geli and Ideal Power to develop Gexpro’s power IQ storage system. The final piece of that offering, product financing is now in place. We are pleased to report that Gexpro has successfully concluded a financing partnership for their storage business with NextEra Energy. For those of you who are not familiar with NextEra, they were a Fortune 200 company with over $50 billion in market capitalization. NextEra is the parent company of Florida Power & Light and their unregulated subsidiary, NextEra Energy Resources is the largest renewable energy generator in North America, with over 13,000 megawatts of renewable energy assets. NextEra will provide 100% of the project funding for the Gexpro systems and this has given Gexpro the comfort to step up their order flow, which played a significant part in the 14.5 megawatt order we have recently announced. NextEra will be offering three different financing structures for Gexpro customers. One will be assured savings program. The second option will be a fixed payment guaranteed demand charge reduction program. And the third will be a customer site license program. In all three cases, NextEra will own the storage asset. These options eliminate the need of the customer to put up capital for the storage system and allows NextEra to begin building an installed base of distributed storage assets that they can then aggregate and use for other high-value sources of revenue such as utility ancillary services like voltage and frequency support for the grid. Due to NextEra’s size, financial strength and successful track record in renewable energy, we feel they represent a best-in-class source of financing for commercial and industrial energy storage and we are very excited to see them partnering with Gexpro. Turning next to Boeing, as many of you know, we shipped multiple 30 kilowatt units to Boeing last year as part of a new distributed generation product they are developing. We can now shed a little more light on their distributed generation offering. Boeing is leveraging work they did previously on Unmanned Undersea Vehicles to bring a solid offsite fuel cell to market for energy storage and power generation for military and commercial customers. After several months of successful grid connected testing, they have installed their fuel cell at a U.S. Navy site in Southern California to demonstrate operation on a military micro-grid. The system is designed to generate compressed and stored hydrogen from renewable sources such as wind and solar and use the stored hydrogen for clean, quiet power generation. The modularity and grid-resilient capabilities of our product make it well suited for Boeing’s needs and we are pleased to be part of their new initiative. As their demonstration and testing with the Navy continues, we will keep you apprised of the progress and once we are able to, we will share with you Boeing’s plan and next steps for commercialization. We indicated on our last call that we have other large partners and channels to market in development. An alliance that we actually concluded late last year, but at our partners’ request we are unable to announce until recently was the distribution agreement with WESCO International, formerly known as Westinghouse Electric Supply. WESCO is a Fortune 500 company with $7.5 billion in sales and a global network with 500 full-service branches. WESCO will act as a distributor of our products to serve their extensive customer base and they are currently stocking both our 30 kilowatt and 125 kilowatt products with our first units having shipped to them in Q4. WESCO’s initial target markets are California, New York and Hawaii. WESCO brings a broad and loyal customer base with a proven track record supplying equipment to the renewable and energy efficiency industry. We look forward to collaborating with them to grow our businesses together. Also last year, we announced that we entered into an alliance agreement with Sonnenbatterie now know as Sonnen. Sonnen is Europe’s leading smart energy storage provider and is now entering the North American commercial market. They firmly launched their U.S. presence and entry into the market last month and we are already shipping units to them under our first volume order for their U.S. customers. We are looking forward to working closely with them to help grow their presence in the U.S. and also to help shape and inform our own products and market entry strategy for Europe. While our new and targeted customers are becoming larger and more recognizable companies, we are also seeing a shake out beginning to occur among the storage system integrators. Project development and in particular, owning storage assets is a capital intensive business. As companies with the expertise and financial strength of entities such as Gexpro, NextEra and others enter the market, access to capital for asset owning system integrators will be essential. We are saddened to see one of our long-time customers, CODA Energy run into financial trouble due to their inability to access to capital they need to continue to deploy and own storage systems. They were a meaningful customer for Ideal Power and deployed many units of our products over the past couple of years. CODA was a trailblazer in commercial behind the meter energy storage. We have had concerns about their financial condition for some time and proactively protected ourselves from their financial situation, so we had minimal receivables exposure to them at the time of their bankruptcy. With lots of backlog and revenue from them is expected to be short-term as larger better finance companies entered the system integration business. One last development in the market worth discussing is our recent announcement of the project awards to Austin Energy under the Department of Energy’s sustainable and holistic integration of energy storage and solar PV or SHINES program. These Austin Energy led projects are partially funded by a $4.3 million award from the U.S. Department of Energy’s SunShot program. The objective of these projects is to demonstrate the cost-effective integration of solar power with energy storage as a means to maximize solar penetration without adversely affecting grid stability. Since our multi-port products have been specifically designed with this use case in mind, we are looking forward to the projects as the way to showcase our technology both at the local and national level and demonstrate our unique ability to integrate multiple sources of energy like solar and storage. Looking at our technology development efforts, there are two key developments, I want to highlight. First is the demonstration of our PPSA technology as a variable frequency drive for motors. We have been conducting a demonstration at the University of Texas Center for Electromechanics to show that our PPSA technology can be used as a motor drive and to use the demonstration project information to help us assess where and how to enter the mature, but multi-billion dollar VFD market. Although the demonstration is still in progress, we have been successfully operating the motor at the facility and are demonstrating as expected that our PPSA technology offers potential technical advantages such as low electrical noise compared to conventional VFD technologies. Our plan is to gather additional operational data through March and use that data to assess the current state of competing products in our product and market entry strategy. We will keep you apprised of our progress. On the bidirectional switch development program our two semiconductor fabricators have worked through many of the manufacturing process development steps necessary to produce a high quality double sided device. While these efforts benefit both the bidirectional IGBT and our bidirectional bipolar transistor or B-TRAN, our focus is now largely on the B-TRAN device due its higher projected level of performance and our strong intellectual property position having now received our 12th patent. Now with the physical characteristics of the switches are established, we have completed a preliminary packaging design for the devices, so we will be able to mount the prototype devices to a circuit board for our own testing and potential customer evaluation when we are ready to enter that phase. The publication of our B-TRAN whitepaper and new issuance of our patents is generating interest from companies in both the semiconductor space and potential end users. We have already been approached on our unwillingness to grant a license to our B-TRAN technology to our larger semiconductor fabricator who has come to know and understand the devices very well. We also recently met with technical team of a large consumer durable products company has expressed interest in being one of the first customers to evaluate a B-TRAN device for their applications. After an in-depth review with the consumer product company’s technical team, they described the B-TRAN in their words as potentially game changing for their business. The accomplishments made during 2015, demonstrate an increasing number of large well-established companies are entering the energy storage market on the heels of the early adopters. We work diligently to align ourselves with those that we believe will be the long-term winners. 2015 represented a year of expanding our channel partners including several with the global reach. These include Gexpro, LG Chem, KACO new energy, Sonnen, Oakland Energy, Eos Energy Storage, now WESCO and others that we will be announcing this year. While each partner will move at their own pace, we are laying the foundation for long-term growth. Based on forecasts from our partners, we anticipate backlog further increasing as the year unfolds and giving us better visibility in 2016 and beyond. The competitiveness will of course be a growth in our top line with an increasing amount of our revenue coming from our new 125 kilowatt product. Before I take a look at what to expect in 2016, I want to turn the floor over to our CFO, Tim Burns to discuss the financial results. Tim?
Tim Burns: Thank you, Dan. I will run through the fourth quarter and the full year 2015 financial results. Total revenue in 2015 which consisted entirely product revenue was $4.3 billion or an increase of 250% compared to product revenue of $1.2 million in 2014. Total revenue for the fourth quarter, which also consisted entirely of product revenues was $967,000 or an increase of 159% compared to $373,000 in product revenues for the fourth quarter of 2014. We have seen a meaningful shift in our product mix. In the first half of the year our revenue was largely from our 30 kilowatt battery converter and to a much lesser extent in the second quarter our grid resilient 30 kilowatt two-port and multi-port power conversion systems. In the third quarter of the year, our revenue consisted of sales of our 30 kilowatt battery converter, strong sales growth for our grid resilient 30 kilowatt systems and initial sales of our 125 kilowatt products. In the fourth quarter, over half of our revenue was from sales of our 125 kilowatt product with the grid resilient 30 kilowatt power conversion systems displacing the 30 kilowatt battery converter due to market demand for the new capabilities of these systems. We expect our 2016 product mix to more closely align with the fourth quarter product mix although this could be impacted by the timing and size of individual customer orders. Gross margins were 9% in 2015 compared to negative 22% gross margins in the prior year. The year-over-year improvement in gross margins reflects the inherent leverage in our business model. Gross margins in the fourth quarter were 1% compared to negative 36% gross margins in the fourth quarter last year. Our fourth quarter gross margins were negatively impacted by the late Q3 introduction and initial low volume production of our new 125 kilowatt product. As we have mentioned previously new product rollouts will yield temporary short-term reductions in gross margins although these temporary reductions will become muted as overall volumes and revenue scale. We expect that the temporary compression in margins due to the impact of the 125 kilowatt introduction will be behind us later this quarter. As communicated on our last call as we shipped at low to moderate volumes, our quarter-to-quarter gross margins will have variability depending upon the product mix and timing of new product introductions. But we are targeting gross margins of 30% to 40% at scale and exclusive of any benefit from licensing. We have already shown that even at low volumes, our gross margins swing from negative to positive and as revenues continue to grow in 2016, we expect the leverage in our business model to become even more apparent. As you review the comparable 2014 period, you will see grant revenues and expenses related to $2.5 million Department of Energy ARPA-E grant. We no longer have grant revenues and expenses as the ARPA-E grant was fully funded at the end of 2014. Research and development expenses increased in 2015 to $5.5 million from $2.3 million in 2014. The increase was due to our investments in bidirectional power switch development, which are now completely self-funded as well as new product development activities related to our grid-resilient 30 kilowatt and 125 kilowatt products, both of which we expect to contribute meaningfully to our growth going forward. Research and development expenses increased in the fourth quarter to $1.7 million from $695,000 in the fourth quarter of 2014 largely as a result of our self-funded investments in bidirectional power switch development, including the engagement of a second semiconductor fabricator during the third quarter to accelerate proof-of-concept and prototyping of this technology as well as further product development activities related to our new 125 kilowatt product. We expect R&D spending to be at similar levels during the next couple of quarters as we continue to invest in our bidirectional switching efforts. We believe our current investments in research and development will result in significant growth in 2016 and in future years and also generate substantial long-term shareholder value. SG&A increased to $5.3 million in 2015 from $4.2 million in 2014 due to growth in our business development team to support future revenue growth, higher non-cash stock compensation and higher patent spending, including normal course non-cash patent abandonments as we continuously evaluate and streamline our pending patent portfolio. SG&A increased slightly from the third quarter of 2015 and increased by $221,000 compared to the fourth quarter of last year largely as a result of moderate growth in personnel to support the growth in the business and higher patent spending. We do not expect significant increases in SG&A in the short-term, but will strategically expand our sales team to drive future growth as we entered new markets and geographies. Operating expenses for 2015 totaled $10.9 million yielding a net loss of $10.4 million. Operating expenses for the fourth quarter totaled $3 million yielding a net loss of $3 million. At December 31, 2015, we had backlog of $5.2 million compared to $2.2 million at September 30, 2015 and $2 million at the end of last year. Backlog was negatively impacted by the bankruptcy of CODA Energy, but we are encouraged that over 50% of backlog is for our new 125 kilowatt product. While we have previously noted that our backlog will typically translate into revenues within 6 months, our year end backlog includes a large volume of orders for full year 2016 deliveries. This as we temporarily extends a 6 months rule of thumb for us. As another rule of thumb when we place an order to our contract manufacturer units we have produced and available for shipment within 90 days for larger orders and potentially shorter timeframes for smaller orders as we maintained a minimum level of stock on hand. This stock on hand is modestly supplemented by inventory held by our distribution partners like Gexpro and WESCO International. Depending on product mix and volume discounts, 1 megawatt of orders typically translates to $250,000 to $300,000 of backlog. We preferred our port orders in megawatts and they get backlog in terms of dollars to protect our customers’ confidentiality in our pricing. We expect our 125 kilowatt product to likely represent the largest portion of backlog going forward. From a working capital perspective, most orders are self-funding meaning payment terms to the manufacturer and collection of customer receivables are closely aligned. This means that most orders will be self financing. This allows us to scale meaningfully without the specific need to raise working capital. We currently have ample capacity at our contract manufacturer to meet backlog and forecasted growth for the coming years. On December 31, our balance sheet included $15 million in cash and cash equivalents and no debt. Cash usage for 2015 totaled $8.8 million versus $6.2 million in 2014. We expect our cash usage to decline after the B-TRAN proof-of-concept development is completed and as revenue ramps this year. In addition, we have a federal NOL in excess of $23 million, which will help initially shield us from income taxes as we become profitable. Lastly, I want to mention we have recently received research coverage from Rodman & Renshaw and Northland resume coverage. We now have analyst coverage from five firms, Oppenheimer, ROTH Capital, Craig-Hallum, Rodman & Renshaw and Northland. We will be attending conferences in March hosted by two of these firms. I will be attending the Northland Capital Markets Growth Conference in New York and Dan will be attending the 28th Annual ROTH Conference in California. I will now turn it back over to Dan. Dan?
Dan Brdar: Thanks, Tim. While 2016 is off to a volatile start for the markets and global economies in general, the fundamental drivers for our business are unchanged of the need for energy storage and the problems it solves are not driven by the price of oil or other factors that are grabbing the near-term headlines. We are excited about the size and the capability of the companies coming into the storage space as integrators, distributors and financers including several Fortune 500 companies. While large companies take longer to execute, they can bring significant scale to the storage market and our evidence of both the maturing nature of energy storage and the scale of the opportunity it represents. The innovative nature of our products and our technology roadmap make us an attractive partner for these new market entrants. Having our products receive third-party recognition helps us well. Solar Power World Magazine recently announced their selection of top inverter products of 2015. The selections were based on innovation, flexibility and cost improvements, where they are focused on differentiated products that are being actively deployed in the market. We are pleased to see our grid-resilient 30 kilowatt multi-port power conversion system selected from top inverter product list by one of the leading renewable energy publications as it validates our approach to product development and technological innovation and raises our visibility with potential partners and customers. We are working to capture key new players entering the storage market in 2016 and already have equipment under evaluation at new potential partners with recognizable global brands. While the growth in the storage market over the next couple of years will likely be lumpy, we expect to see strong growth in 2016 based on the feedback from our existing and perspective channel partners. Continually declining costs for batteries and systems and the arrival of third-party financing are expected to be an accelerant for the storage space and to make it a globally addressable market. Working closely with our existing and prospective global channel partners, we are prioritizing our international efforts to support their energy storage business. Later this year, we will begin adding international product certifications to our products to accommodate the markets that require certification standards other than UL. We will be making announcements as various international product certifications are completed. Our plan in 2016 is to continue to build on the foundation we laid in 2015 by announcing new alliances and partnerships with global companies, growing our top line revenue, demonstrating the leverage in our business model, bringing out new and innovative products, being ready for and ahead of the curve for the price pressure that will eventually materialize in the energy storage market and innovating in technology that allows Ideal Power to lead in the energy storage market and beginning to broaden the markets we serve with our PPSA and bidirectional switch technologies. We see 2016 as a year of continued growth and expansion of our business, including new markets and geographies, potentially the first addition of licensing to our business model and continued expansion and strengthening of our intellectual property portfolio. These activities should enable us to continue to grow and expand our leadership position and we are excited about how 2016 is shaping up and look forward to keeping you apprised of our progress. At this time, I would like to open up the call to questions from our listening audience. Operator?
Operator: Thank you. [Operator Instructions] And we will go first to Eric Stine of Craig-Hallum.
Eric Stine: Hi, Dan. Hi, Tim.
Dan Brdar: Hi, Eric.
Eric Stine: You mentioned your expectation for backlog throughout 2015, I am just wondering if you can talk a little bit about the pipeline, maybe how it looks today entering the year versus a year ago and then just some of the confidence or visibility you are getting from your partners?
Dan Brdar: Some of them, it’s a little tough to tell you at WESCO, for example, being new. They don’t have a good forecast for us yet, but Gexpro for example especially with their financing place, they are feeling pretty confident about their business plan. What we do see that the difference this year than what we would have guessed last year is the 125 is looking increasing like it’s going to dominate what the additions to backlog are. It’s really – looks like it’s opening up new opportunities for us. We thought it was going to be probably more of a 50:50 mix, but it looks like it’s going to be biased more to the 125 based on the feedback we have so far.
Eric Stine: Got it, okay. Good segue to WESCO maybe I know new entrant and it does take some time, I mean are they someone that you think can be a meaningful contributor to 2016. And then I guess along those lines, I mean do you think are they distributing the product and can they become someone like Gexpro who actually has an integrated product with other partners?
Dan Brdar: They are starting as a distributor. If you look at some other products, they distribute like inverter products like I believe they distribute end phases micro-inverter and some others that are in the space were actually pretty significant in terms of the volume that they move for a lot of these companies. So they have active relationships with the players that are actually deploying products in the space. Their focus initially is to have a commercial scale energy storage product to go out to these target markets. They haven’t identified to us yet whether they want to broaden that role of becoming the system integrator like Gexpro or not, I think it’s a little early in their evaluation process to do that. So it’s primarily going to be a great channel for a lot of the solar and energy efficiency folks that are out there that need ready access to a product to incorporate in projects they are already doing. And that may bring a lot of great relationships there that they are going to be able to leverage to move products, in fact they are already moving products.
Eric Stine: Okay, got it. Dan, it’s good to hear. Maybe last one for me just on the technology side, you mentioned the bidirectional switch and B-TRAN I mean you have kind of got those two paths that you are on, I mean do you envision a day when you just – I mean you mentioned that the majority of your focus now is on B-TRAN, I mean is there a day when you kind of put all your eggs in that basket or do you think that these are two technologies that you will go with going forward?
Dan Brdar: We will not take both of them all the way to commercial product. The things that we are doing on the manufacturing side have so much in common, learning how to for a semiconductor fabricator to get a good bond on a double sided device. Those sort of things are – they benefit both approaches. But as we get a little bit further along, we will eventually just select one as a path to commercialization. And based on the engagements that we are having with third parties and the validation work that’s being done, right now we are leaning to B-TRAN. As I mentioned because of it’s higher predicted performance based on what we have seen so far and the fact that it is something that we truly own from an IP standpoint. But we are not making that call yet. But we will down select what actually comes time to commercialize.
Eric Stine: Okay. Thanks a lot.
Dan Brdar: You’re welcome.
Operator: And we will go next to Colin Rusch of Oppenheimer & Company.
Colin Rusch: Thanks so much, guys. Can you talk a little bit about where the actual applications are, you are seeing with the new 125 kilowatt, are you starting to see meaningful volumes of retrofits of existing solar systems or other renewable systems at this point?
Dan Brdar: A lot of it is still focused on standalone storage where it’s just larger businesses that have demand charge reduction that’s still probably the dominant source of the orders that we see. But we are seeing quite of bit of interest from people that do want to now start retrofitting some of these facilities where solar has already been put in and they want to go, they come back and add storage as an add-on. But it’s probably I had to guess I would say it maybe 15% to 20% of the opportunities that we are seeing. The standalone storage is probably 75% of it right now.
Colin Rusch: Okay, perfect. And then as you look out at the utility landscape and looking at the other markets that are really required for some of the higher order applications for some of these technologies, certainly you have got a nice broad base of demand charge reduction assets out there, are you seeing a real movement in terms of signals from ISOs and other folks to really start seeing the software development necessary to look at frequency regulation and voltage management from that existing base of assets?
Dan Brdar: Yes, we are. In fact, we see several companies out there where their business model is really based on the ability to actually start to tap into those revenue streams. It’s clear that that’s NextEra’s strategy. They ultimately want to own those distributed storage assets so they can tap into those utility streams. You look at companies like Stem and others. They see that value as well. We are actually getting pretty well connected to the folks that really look forward to set the rules and a good example is ERCOT, a lot of the large system folks here in the U.S. runs the Texas grid, they are having a big conference that we actually happen to be the facility they are going to come tour. And I am fortune not to be able to chair one of their substance there. So, we are making sure that we are being connected in terms of capability of technology and we are tying ourselves to the players like NextEra and others who really want to own the assets to actually start to tap into those added revenue streams.
Colin Rusch: Okay, great. And then if you guys can give us a sense of gross margin trends kind of in a more concrete way, I know you have talked about increasing volumes and lower costs as you go forward with 125 kilowatt and I am sure we will be thinking about kind of single digit movements in gross margin trends or are we going to get bigger chunks like we saw last year when you hit some critical end points for volumes?
Tim Burns: Yes. It’s going to be driven by the revenue ramp. I had said in my prepared comments that probably for another quarter here being the first quarter our revenues will be impacted by the introduction of the 125 kilowatt, but as we move into production of the large volume order we will see a good sized bump on the 125 kilowatt contribution to our overall margins. So it can fluctuate pretty – it can be more than a few percentage points fluctuation in our margins as we showed this year, but we will benefit from the upswing of that as we get through the 125 kilowatt later this quarter.
Colin Rusch: Okay. Thanks a lot guys.
Dan Brdar: Thanks Colin.
Operator: [Operator Instructions] And we will go next to Craig Irwin of ROTH Capital Partners.
Craig Irwin: Good evening and thank you for taking my questions. So you mentioned CODA and the challenges that they have had, but you have competitors out there that I think have seen similar challenges maybe capital availability of so foray into competing with their customers, we have heard of a significant headcount reduction at your primary competitor, can you maybe discuss whether or not this has impacted conversations with your customers whether or not it’s having new probable customers knock on your door or ramp up their conversations with you versus what – where they were specifically before and if you see this as a competitive advantage over the next couple of quarters?
Dan Brdar: Well, having competitors get weaker or drop out of the market, it’s a mix bag. I think its part of the natural evolution that needs to happen in the space is just the market itself matures. In general I look at the competitor that you are referring to that we actually already kind of took a lot of customers from them, others were once they kind of lost on their own. I think that as they sort through their issues hopefully will be successful. I think this market is going to be big enough, there is going to be plenty of room for them and others to compete in. We don’t spend too much time focusing on them. We want to make sure that we are really prepared in terms of product capability, cost point performance for the really big folks that will eventually come into this space. We have got the opportunity now that we can do some innovation to drive a lot of costs out of our products to be ready for that. So it’s really the bigger players the ABBs and those sort of folks of the world that will eventually enter the space. But we are keeping our eye on it and making sure we are ready to compete with.
Craig Irwin: Great. And then just about customers, so when we were at the ESNA conference in San Diego, two customers very specifically said that they were switching to your product. One of them expected to announce in December, the other one was saying that they would announce in the first quarter and I understand that that’s just sort of typical iceberg right, I had heard concrete reports of a third that was saying that they were going to switch over the next couple of quarters and obviously see you are going to be talking to a lot more than just that, can you maybe discuss the gating factors for any announcements whether or not certain customers are looking for fully commissioned products in the field where they can bring reference customers of their own. And what might be impacting the timeline maybe of some of these announcements?
Dan Brdar: Yes. The customer I think you are referring to that is a big player of it was expecting to announce in December. The issue they have ran into actually was the quality of the battery rack they got. So we are kind of impacted by the rest of the system and how that all comes together and whether players were satisfied with the quality, what happens is for the larger players we send them units that they go into their lab, their engineering team evaluates them, we educate them on the technology, that process it takes time but it’s generally not the gating item, usually it’s putting together the rest of the system. We have at least four significant players I can think of that we are literally trading agreements with as we speak. So, I think it’s really just the pace of the bigger companies go through in terms of qualifying their overall system, making sure they are ready to do a complete system guarantee not just for our piece but the wrap of the battery system and control software and everything else and then the time it takes some of them to negotiate agreement themselves. But I know of all the folks you talked to and we are still very much in play with all of them and hope to be making some announces in the not too distant future.
Craig Irwin: Fantastic, fantastic. Now, moving on to gross margins, can you maybe discuss whether you can sort of peel out or back out for us the impact of the 125 ramp in the quarter whether or not there are maybe elevated expenses associated with that or other potential one-time items that did impact the margins in the quarter?
Dan Brdar: Yes, I will let Tim add more color to this. To give you an idea of the sort of the two things that drive the cost of first products in terms of what actually flows through to COGS and the gross margins, things like certifying the product, those sort of things are expense. What we typically run into is the first units that we make we are generally making them in small numbers. We may release our contract manufacturer to make 5 or 10 of them that will need for early sales and for certification. When you are doing that 5 and 10-year sort of time, it’s not very efficient from a procurement standpoint of the parts and components and it’s not the very efficient for the contract manufacturer to make what to them look almost like one-offs. The other thing that we typically run into is as we go through certification, there are always things that we learn about the design that either need to be changed or that we want to change to enhance or alter the performance. So, you end up with changes to actual pieces of hardware that you may have designed for specifically for your products or you need to switch supplier on. So, we typically run into situations where we are paying to expedite materials for those first units as well. So, I would say those two things are probably the biggest contributors to first products, but Tim, I will let you add your own color.
Tim Burns: Yes, that is what’s driving it. Our overhead and COGS has remained pretty stable throughout the year. If you look back before the introduction of the 125 to the first half of the year in our gross margins on revenue in the $1 million range, it was in the low double-digits, so 10% to 15% margins. So, the introduction of the 125, I am not going to quantify the exact impact, but it could have been a 10% impact on the overall gross margin at current revenue levels. As we increased revenue level, that overhead number is not going to really change significantly. So, there is the opportunity to really increase the pace in which our margins will increase just along with the revenue.
Craig Irwin: Great. And then last question if I may before I hop back in the queue. Can you share with us the schedule or maybe tempo of product certifications, re-certifications for this year, so maybe we can understand some of the potential expense volatility that might impact the P&L?
Tim Burns: Yes, the first is the work that we are doing for Hawaii for HECO, we will see that in Q1, but it’s relatively small. Australia is probably the next one that we are going to see which I believe is a Q2 event. And then any other international activity is going to be late Q3 or early Q4.
Craig Irwin: Fantastic. Good to hear and congratulations on the commercial progress.
Tim Burns: Thanks, Craig.
Operator: And we will go next to Amit Dayal of Rodman & Renshaw.
Amit Dayal: Thank you. Hi, Dan. Hi, Tim.
Dan Brdar: How are you?
Amit Dayal: Good, good, thank you. Congrats on the results and the progress. The story sounds really exciting.
Dan Brdar: Thank you.
Amit Dayal: In terms of the R&D spend, this is the bulk of your operating expenses so far, how should we look at this line item shaping up in 2016?
Tim Burns: Yes. So, R&D will actually probably be more heavily weighted towards the first half of the year. And the reason why I say that, I communicated this previously as well, but the prototype and development efforts for the B-TRAN are really focused on the starting the third quarter last year and we will run through here the second quarter of this year, where the cost to expedite that work will be borne in those quarters. So, we would expect R&D spend to remain at or near the current levels here for the next couple of quarters. As we get through some of that later in the year even with new product introductions, we potentially will see a decline in the overall R&D spend, but we will continue to be opportunistic. And if we determine that it makes sense from a market perspective to either accelerate development efforts or to add an additional product, it may not have been in our original plan, we will consider that in the impact on R&D, but right now, we are expecting to see it a little bit less in the back half of the year.
Amit Dayal: Understood. Thank you. And just going back to the backlog, is most of this U.S., is any backlog also attributed to Asia?
Dan Brdar: When we actually put product at places like Gexpro, for example, we don’t necessarily know at the time of the order where it’s going to go. So, for example, some units that we had already shipped to Gexpro, we found out afterwards they went to South Africa. So, when we are dealing with particularly some of the distributors, because they are global, we don’t really have good visibility into where they are ultimately going to end up until they tell us where they are.
Amit Dayal: Understood. And just going into we are sort of halfway into the first quarter of 2016, are you satisfied with the progress you are seeing, what’s the performance of the company’s contribution from partnership partners, etcetera have been so far. I mean, has it been in line with your expectations with the positive developments you saw in the fourth quarter has continued sort of in the first quarter of 2015?
Dan Brdar: We are actually pretty excited about some of the folks that we are actually in discussions with. We look at people that either already are established in the space and are looking to work with us or others that are large, recognizable names that are coming into the space. We feel pretty fortunate that we have been able to attract and I think hopefully, knock on wood, when some of these players. The one thing that I just personally am dissatisfied with and having worked at GE I understand it, but the company has just moved slowly. There are times when you just want to talk, come on guys, can we just get on with it, but they got to go through their process, because we understand that.
Amit Dayal: Great. And just maybe finally on the B-TRAN, what are the next steps? Do we see any commercialization happening by 2017 on this front?
Dan Brdar: Yes. I mean, what may actually happen this year depending on whether we believe it is in our best interest to do so, one first thing is you may see is actually license since we have got a semiconductor fabricator that wants to license the technology. But I think the key really is to get to the part, we have some devices that we can let some of these potential end customers start to test and get the agreements in place that will allow semiconductor fabricator to provide product in scale, because people are not going to want to buy a semiconductor device from Ideal Power, they are going to want to buy it from a true semi-fab.
Amit Dayal: Right, right. Understood. That’s all I have. I will get back in queue. Thank you.
Dan Brdar: Okay, thank you.
Operator: And we will go next to Pierre Maccagno of Northland.
Pierre Maccagno: Hi, Don and Tim. Many of my questions are answered, but I had a question regarding the transistor. So, the IGBT if I understand will or continue with that developing that or are you just going to go fully ahead with the B-TRAN?
Dan Brdar: We are still developing work that applies to both the bidirectional IGBT and the B-TRAN. Right now, it just happened to be people are wondering which one are we going to go with, we are currently technically favoring the B-TRAN, but we are still working on both. As we get further along, we will go down select to just one of them, but we have not made that determination yet.
Pierre Maccagno: So, is it based on performance that you are going to decide or which one comes first or?
Dan Brdar: It’s really based on performance. We see significantly better potential performance with the B-TRAN.
Pierre Maccagno: Okay. And then with regard to the Gexpro, so they have a battery with which you are working or basically it’s quite flexible?
Dan Brdar: The way Gexpro has actually configured their system, they have standardized on LG Chem as their battery provider plus we are battery agnostic. So, if they later want to switch to Samsung or Panasonic or anybody else, because they get a better pricing or performance, it won’t affect our ability to provide a product, but in order to sort of standardize the system, they selected LG Chem.
Pierre Maccagno: I see. And just to extend you are working with Sonnen that’s with a different type of architecture or a different type of installer?
Dan Brdar: Well, Sonnen actually is the – they provide the entire system there, the system integrator. They have a battery supplier of their own. I believe theirs is actually based on Sony is the technology that they are using.
Pierre Maccagno: I see. Well, great. Thank you very much.
Dan Brdar: Thank you.
Operator: And we will go next to Bruce Pate of Pate Capital Partners.
Bruce Pate: Hi Dan, just a quick question on the KACO arrangement, were there any updates you can give us on how that licensing arrangement is going?
Dan Brdar: Yes. KACO has been going through the process selecting their battery partner. It’s taking them a little while to get through that, simply because they don’t have a lot of in-house battery expertise. KACO here in the U.S. actually has brought some of their team from Germany over to actually join the team here to finalize that process. So I think we are going to see KACO get a little bit more active here as we get into the first half of they. We know they are actively bidding projects already. But I think if they were to win one tomorrow, I think they have a lot of scrambling to do to actually get the system itself together largely because it’s this process to select whose battery they are going to use. We think right now based on the discussions that they share with us they are leaning towards Samsung, but hopefully here by the end of the quarter they will make that selection.
Bruce Pate: Thank you.
Dan Brdar: You’re welcome.
Operator: And this concludes our question-and-answer session. At this time I would like to turn the conference back to Mr. Brdar for any additional or closing remarks.
Dan Brdar: I think we have one other question that came in, in writing from a listener is – that question was, please tell us whether Ideal Power’s timing on the residential product is being reconsidered. We actually keep a pretty close eye on what’s happening in the residential market on a regular basis. But because we work with companies like Sonnen and others we haven’t rolled out a residential product. We are really waiting for when we think is the right time to focus on it. So we did something that we actually visit on a pretty regular basis this part of our own long-term product roadmap and our priorities based on what we are actually seeing in a marketplace. So you may see us come back in a quarter or two and say that we are now going to do one or we may decide it still weighs off. Fortunately for us for a new product our cycle of time to actually design and develop a product is not as long as you see in a typical big company because we can leverage so much of the prior designs in terms of control codes and everything else. So if we decided that we want to enter the residential market if we have made that decision today we could literally have a product by the end of the year assuming that we wanted to make it a priority versus other things we might do. So, our message is we continue to evaluate it. We make sure we get good feedback from the partners and channels that we work with and we will continue to do so. So we think there will be a time when it makes sense. We just don’t think that the time is just yet. Any other questions? Okay. I think that answers the questions that we have received through the webcast. I want to thank everybody for joining us today and we look forward to continuing to update you on our progress. Thank you very much.
Operator: And this does conclude today’s conference. We thank you for your participation. You may now disconnect.